Operator: Greetings and welcome to Diana Shipping 2017 Fourth Quarter and Year End Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host Ed Nebb. Thank you. You may begin.
Ed Nebb: Very good. Dana, thanks so much and thanks to all of you for joining us for the Diana Shipping Inc. fourth quarter and year end 2017 conference call. The members of the management team who are with us today include Mr. Simeon Palios, Chairman and CEO; Mr. Anastasios Margaronis, President; Mr. Andreas Michalopoulos, Chief Financial Officer; Mr. Ioannis Zafirakis, Chief Operating Officer and Secretary; and Ms. Maria Dede, Chief Accounting Officer. Before management begins their remarks, let me remind you of the Safe Harbor notice which you can see on our press release that certain statements made during this conference call, which are not historical facts are forward-looking statements under the Safe Harbor provisions of the Private Securities Litigation Reform Act. With that, let me turn the call over to Mr. Simeon Palios, Chairman and CEO of Diana Shipping.
Simeon Palios: Good morning and thank you for joining us today to discuss the results of Diana Shipping Inc. for the fourth quarter and full year 2017. The company’s performance during the recent quarter and year reflected our longstanding strategy of positioning our fleet to take advantage of an eventual rise in charter rates. While drybulk marketplace remains challenging, we have seen an improvement in charter rates and we are beginning to show the benefits of these strategies. To review our financial results, the company reported a net loss of $436.9 million and net loss attributed to common stockholders of $438.4 million for the fourth quarter of 2017. These results included a $422.5 million impairment loss. Excluding this impairment loss, the net loss and net loss attributed to common stockholders for the fourth quarter of 2017 would have amounted to $14.5 million and $15.9 million respectively. This represents an improvement from a net loss of $23.3 million and net loss attributed to common stockholders of $24.7 million for the fourth quarter of 2016. For the full year 2017, the net loss and net loss attributed to common stockholders amounted to $511.7 million and $517.5 million respectively. For the full year 2016, net loss and net loss attributed to common stockholders amounted to $164.2 million and $170 million respectively. Time charter revenues rose sharply to $48.9 million for the fourth quarter of 2017 from $28 million for the same quarter of 2016 mainly due to increased average time charter and the enlargement of our fleet. Time charter revenues were $161.9 million for the full year of 2017 compared to $114.3 million for 2016. During the balance sheet cash equivalents, restricted cash total $65.8 million on December 31, 2017. Long-term debt, net of deferred financing costs including the current portion was $601.4 million and stockholders equity was $624.8 million. We will continue to manage our fleet of 50 vessels in a responsible manner that promotes a balance of time charter maturities and produces a predictable revenue stream. Currently, our fixed revenue days are 50% for 2018. Let me conclude by saying that we remain committed to maintain our financial strength and to managing our fleet in a strategic manner that will enable the company to continue to benefit from improving conditions in the dry bulk marketplace. With that, I will now turn the call over to our President, Stasios Margaronis, for a perspective on industry conditions. He will then be followed by our Chief Financial Officer, Andreas Michalopoulos, who will provide a more detailed financial overview. Thank you.
Anastasios Margaronis: Thank you, Simeon and welcome to the participants of this first conference call of Diana Shipping Inc. in 2018. As we have done in the past, we will start by looking at the bulk carrier industry at the beginning of this year and compare them with those of over a year ago. This will provide us with a general idea for how much time charter rates have moved over the preceding 12 months period. On 3 January, 2017, the Baltic Dry Index stood at 953. On 2 January of this year we have closed at 1,230. The Baltic Panamax Index started 2017 at 811 and on the first rating day of this year it closed at 1,340. The Baltic Cape Index started 2017 at 1,538, having closed at 2,281 on 2 January, this year. It appears that 2016 will certainly be remembered that’s possibly one of the worst years of the last decade as we got income and earnings of the much discussed bulk carrier sector. Let’s look at macroeconomic development now. In the United States, the ISA [ph] manufacturing PMI kept moving higher in December of last year reaching 60.7. The new order components of this index reached the highest level since 2003. The euro area manufacturing PMI rose to 60.6 in December recording the best performance since these surveys [ph] began back in 1997. According to Clarkson, the German economy bolstered by high levels of domestic consumption, grew by 2.2% in 2017, which was the faster pace of growth since 2011. China’s economy grew by 6.1% in 2017 on a target rate of 6.5%. Global growth forecast for 2018 have been revised by the IMF upward by 0.2% to 3.9%. Overall, trade growth in goods and services for 2018 as forecasted by the IMF, is also expected to be strong at just about 4%. Let us now consider the demand and supply forecast which will evolve in – which were the benign in world economic environment. Demand first, according Clarkson the global seaborne dry bulk trade is estimated to have grown 4% in terms of tons and 5% in terms ton-miles in 2017. For 2018 global dry bulk trade is expected to grow by about 3% in terms of tons and 4% in terms of ton-mile. On the supply side Clarkson reported that in 2017 a total of 454 bulk carriers of a combined 38 million deadweights were delivered, while 215 vessels were sold for scrap resulting in fleet growth of 2.9%. According to Banchero Costa, these deliveries included 113 Panamaxes and post Panamaxes. For 2018, fleet growth is projected to slowdown to around 2% due to a significantly slower pace of deliveries following limited contracting activity in 2015-2016. Banchero Costa estimates the growth of the Panamax, post-Panamax and Babycape fleet to be 1% this year and 2% in 2019. General fleet development as we compare at the beginning of January this year, Clarksons’ report that the capesize fleet stood at 1,692 vessels of a combined 323.7 million tons, that’s a 7% increase in deadweight terms compared to the start of 2017. The equivalent figures for the Panamax fleet were 2016 million deadweight at the beginning of this year, which represented a 2.7% increase in deadweight terms compared to a year earlier. Let’s look at scrapping. As mentioned earlier on, according to Clarksons during 2017, a total 215 bulk carriers were sold for scrap compared to 378 ships amounting to 29.3 million deadweight scrap in 2016. Without a doubt, the improved earnings of these ships played a leading role in this drop in numbers of the modest vessels compared to 2016. According to Clarksons’ during 2017, 33 Capes and 49 Panamaxes were scrapped. Let’s look at the newbuilding order book. Clarksons reported a total of 76 million deadweight were on order as of the beginning of 2018 representing 9% of the global existing fleet. Those orders 16.2 million were Panamaxes representing 8% of the existing fleet and 43 million deadweight of Capes representing 13% of the existing fleet of Capes. As for Valemaxes, a type of ship that often attracts analysts’ interest, Gibson Shipbrokers report that in 2018, 16 such ships are expected to be delivered, while in 2019 another 14 are expected to join the fleet. Some of these new vessels will replace tonnage currently performing for Vale, especially the elderly VLOC conversion tonnage owned by Polaris. Vale expects to increase its export volume over the next 2 years. Turn to iron ore now, according to Clarksons, global seaborne iron ore trade is estimated to have grown by 4% to 1.477 billion metric tons in 2017 driven by robust growth in China’s iron ore imports following reforms in the steel industry which took place that year. Global seaborne iron ore trade is currently projected to expand 3% to around 1.524 billion tons in 2018. As for the iron ore stockpiles in major ports, these reached 150 million at the end of last year. According to Banchero Costa, this iron ore could produce enough steel to build 107 million cars, more than 3 times the company’s annual motor sales for enough to reach the moon is lined up in those details [ph]. Analysts are concerned that such huge stockpiles might pose a serious threat to crisis going forward. In 2017, Chinese crude steel production grew by 6% year-on-year to reach 831.7 million tons according to NVS data. Braemar predict that in 2018 growth of steel production will be close to flat. The stock levels of iron ore remain at current levels during 2018, there will be according to Braemar, they need to reduce iron ore imports by 37 million tons compared to 2017 just to remain and maintain the status quo. This is something that we need to work as the year develops. Turning to coking coal, according to Clarksons, global seaborne coking coal trade is estimated to have grown by 4% to around 255 million tons in 2017. This was the fastest pace of growth since 2013. Looking ahead, growth in global seaborne coking coal trade in 2018 is expected to be supported by growth in imports into a number of Asian countries, particularly India and Vietnam, where steel production is growing rapidly. Total exports are anticipated to grow by 3% in 2018. Turning to thermal coal now, according to Clarksons, global seaborne thermal coal trade is currently estimated to have grown by around 6% to reach 948 million tons in 2017, the fastest phase of growth since 2012. Looking ahead, growth in the global steam coal trade is currently expected to moderate in 2018 with current projections indicating growth of around 1% to 958 million tons. On the supply side Indonesia is expected to account for the majority of growth in seaborne exports in 2018 with a country well placed to meet growing demand of heat energy in emerging markets such as Malaysia, Vietnam and Philippines. According to Banchero Costa on an overall coal import basis Indonesia and Australia dominate coal exports to China accounting for 41% and 29% respectively of China’s import volume. Indonesia is the main source of lignite, while Australia is the main source of coking coal and steam coal. Let’s look at the grain trade, according to Clarksons during the 2016 to ‘17 season a total of 363 million tons of wheat and coarse grain cargos which shipped and increase of 4% compared to the previous season. For the 2017-2018 season the total of 366 million tons of such cargos are estimated to be shipped. They are presenting another 1% increase compared to the year earlier volumes. The global soybean trade is expected according to Banchero Costa to increase by 4.2% during the 2017-‘18 grain season thus reaching an impressive 150.4 million tons. Soybean trade continues to grow in prominence when several years ago it was a very small part of the total grain trade transportation statistics. Furthermore, despite the projected 18% decline in exports from 2016-‘17 season’s record shipments, the United States is expected to remain world’s largest producer and exporter of whet and coarse grains in 2017 to ‘18 exporting a total of 18 million tons. Looking briefly at bulk carrier earnings, according to Clarksons thus far in 2018 the average 1 year time charter rates stood at around $17,500 per day for Capes and $12,900 per day average for Panamax Kamsarmax. And average time charter rates have been taken for Atlantic and Pacific delivery areas in calculating the above figures. Let’s turn finally to the outlook of our trade. According to Gibson the last few months this has shown the volumes and tonnage of supply probably more closely aligned than many have previously believed. With the limited forward order book and some slippage of new building VLOCs in 2019 the growth should be comfortably absorbed in the market. The world economy is in a healthier position and Gibson feel that this year this has market and dry cargo market in general would be significantly better than in the previous couple of years. We at Diana generally agree with this assessment of the state of the bulk carrier market. It is finally possible to say with a reasonable degree of confidence that after a period of about 10 months during which the bulk carrier market had shown the steady turning, a balance state between supply and demand may have been reached. This is extremely helpful to both ship owners and shipping analysts in drawing meaningful conclusion about the future trend of earnings by looking at future supply and demand statistics. This is something that would not have been done credibly thus far as it requires magnitude of surplus tonnage in the bulk carrier market was unknown. Therefore and as mentioned in our previous quarterly conference call the management team of Diana Shipping remains cautiously optimistic about the earnings over the short-term and medium-term and reasonably confident that the already strong balance sheet of Diana Shipping will strengthen ever further over that periods. On this note, I will pass the call to our CFO, Andreas Michalopoulos, who will provide us financial highlights of the last quarter of 2017 and the full year. Thank you.
Andreas Michalopoulos: Thank you, Anastasios. Good morning. I am pleased to be discussing today with you Diana’s operational results for the fourth quarter and year ended December 31, 2017. For the fourth quarter of 2017 net loss and net loss attributed to common stockholders amounted to $456.9 million and $458.4 million respectively including a $422.5 million impairment loss. Loss per common share was $4.28. Net loss and net loss attributed to common stockholders adjusted for the impairment amounted to $14.5 million and $15.9 million respectively. Loss per common share adjusted for impairment was $0.16. Time charter revenues increased to $48.9 million compared to $28 million in the fourth quarter of 2016. The increase was due to the increased average time charter rates that we achieved for our vessels during the quarter and revenues derived from the addition to our fleet of the vessel San Francisco and Newport News delivered in January 2017 and Astarte, Electra and Phaidra delivered in May 2017. This increase was partly offset, mainly by a decrease in revenues due to the grounding of the Melite and her sale in October 2017. Ownership days were 4,624 in the fourth quarter of 2017 compared to 4,232 days in the same quarter of 2016. Fleet utilization was 98.9% compared to 99.9% for the same quarter of 2016 and the daily time charter equivalent rate was $9,949 compared to $6,319 for the same quarter of 2016. Voyage expenses were $3 million for the quarter compared to $1.4 million for the same quarter of 2016. The increase in voyage expenses was due to an increase in commissions due to increased revenues and $0.5 million loss from bunkers [ph] in the fourth quarter of 2017, which did not exist in 2016. Vessel operating expenses amounted to $24 million, compared to $20.9 million for the fourth quarter of 2016 and increased by 16%. The increase was mainly due to the 9% increase in ownership days resulting from the enlargement of the fleet and increase repairs and maintenance costs. Daily operating expenses were $5,195 for the fourth quarter of 2017 compared to $4,930 for the same quarter of 2016, representing an increase of 5%. Depreciation and amortization of deferred charters amounted to $21.9 million. General and administrative expenses were $8.2 million compared to $6.8 million for the same quarter last year. The increase was mainly due to increased payroll costs. Management fees to related parties were $0.5 million compared to $0.4 million last year. The increase was due to the transfer to two additional vessels to Diana Williamson Management Limited in the fourth quarter of 2017. Interest and finance costs amounted to $6.8 million compared to $5.6 million in the same quarter of 2016. This increase was attributable to increased average debt and average interest rates in the quarter compared to the same quarter of 2016. Interest and other income amounted to $1.5 million compared to $0.8 million for the same quarter last year. The increase was due to the increase in the interest rate and the outstanding balance of the loan due from Diana Containerships following the new loan agreement on June 30, 2017. For the year ended December 31, 2017, net loss amounted to $511.7 million and net loss attributed to common stockholders amounted to $517.5 million. Loss per share was $5.41. Net loss and net loss attributed to common stockholders adjusted for impairments including Melite amounted to $80.3 million and $86.1 million respectively. Loss per share adjusted for impairments including Melite was $0.90. Time charter revenues increased to $161.9 million compared to $114.3 million for 2016. The increase was attributable to increased average time charter rates that we achieved for our vessels during the year and the increasing ownership days due to the enlargement of our fleet. The decrease was partly expected by decreased revenues due to increase of higher days in 2017 compared to last year. Ownership days for the year ended December 31, 2017, were 18,119 compared to 16,542 last year. Fleet utilization was 98.2% compared to 99.4% for 2016 and the daily time charter equivalent rate was $8,568 compared to $6,106 in 2016. Voyage expenses were $8.6 million for the year ended December 31, 2017. Vessel operating expenses amounted to $90.4 million compared to $86 million for 2016. The increase in operating expenses was mainly due to the 10% increase in ownership days resulting from the enlargement of the fleet. On average, operating expenses for crude costs, insurances, stores, spares and environmental costs decreased. This decrease was partly offset by increased repairs and maintenance costs. Daily operating expenses for the year ended December 31, 2017 were at $4,987 compared to $5,196 for 2016 representing a 4% decrease. Depreciation and amortization of deferred charges amounted to $87 million for 2017. General and administrative expenses increased to $26.3 million compared to $25.5 million in 2016 mainly due to increase payroll costs. This increase was partly upset by decreased legal costs and Board of Directors expenses. Management fees related party were $1.9 million compared to $1.5 million in 2016. The increase was due to an increased average number of vessels managed by Diana Williamson Management Limited during 2017 compared to 2016. Interest and finance costs amounted to $26.6 million compared to $21.9 million in 2016. This increase was attributable to increased average debt and average interest rates compared to last year. Interest and other income amounted to $4.5 million compared to $2.4 million in 2016. This increase was mainly due to the increase in interest income from Diana Containerships Inc. under our loan agreement with them which amounted to $3.9 million in 2017 compared to $1.7 million in 2016. Loss from equity method investments amounted to $5.6 million compared to loss of $56.4 million last year and was mainly due to loss in our investments in Diana Containerships which was sold in 2017. The impairment loss as of December 31, 2017, our test of operating cash flows showed that for 20 vessels in our fleet with carrying value would not be recoverable and this resulted to a non-cash impairment of $422.5 million recorded in the fourth quarter. In addition to the $422.5 million non-cash impairment we had also recorded $19.8 million non-cash impairment in the third quarter resulting from the grounding of the Melite. We sold Melite in October 2017 for $4.5 million [ph] and received an additional amount of $11.5 million by the Hull and Machinery Insurers. Thank you for your attention. We would be pleased to respond to your questions now. And I will turn the call to the operator who instructs you as to the procedure for asking questions. Thank you.
Operator: Thank you. At this time we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Noah Parquette from JPMorgan. Please proceed with your question.
Noah Parquette: Thanks. Good morning. First thing I would ask you about environmental regulations coming up, if you guys have send somewhat the CapEx required would be for the ballast water treatment and how many ships would need that and also what your view is on compliance with the 2020 regulations both for you and maybe for the dry bulks as well? Thanks.
Anastasios Margaronis: So regarding the ballast water treatment system, it’s a staggering amount which will come in stages. So you need to – within 3 years we will go about and equip all our vessels some of which already equipped. And the cost of the one such system depending on the size of the vessel etcetera and the certification rose from $500,000 to $1 million which will go about in about 3 years time in all our ships, but ones that are not equipped yet. Now the second question can you repeat please the second one.
Noah Parquette: Yes. I just wanted to get your sense on how you plan to comply with the 2020 emission regulations and what do you think the dry bulks will do over time?
Anastasios Margaronis: And of course the only thing we know is that in these things, those people that they act, they tried to be clear not very quickly before we have the actual and the final agreement. They lose money. So, we wait – we are in the fortunate position, but we can wait and see how we are going to be handling the situation.
Noah Parquette: Okay. And then I just have one other question on Diana Containerships, just update us on what’s the repayment profile of that loan and was there any payments done during Q4?
Simeon Palios: There were no repayments during Q4. It’s a non-amortizing loan that we have, that needs to be repaid by the end of 2018. So, we understand that there has been a sale of 3 vessels from Diana Containerships that were announced lately. So, we do expect to get some repayments on that during the first quarter or latest during the second quarter, it’s when Diana Containerships sales vessel, it is stipulated with a loan that Diana Shipping Inc. needs to repaid.
Noah Parquette: Okay, great. That’s all I have. Thank you.
Simeon Palios: You are welcome. Thank you.
Operator: Our next question comes from the line of Randy Giveans from Jefferies. Please proceed with your question.
Randy Giveans: Hi, thanks for the time. So, just a few quick questions one on your strategy, obviously 1 and 3 are time charter rates are all up about 40% or so of last year. So, what is your strategy for kind of spot versus time charters in the quarters ahead as obviously the majority of your short-term contracts are going to be expiring in the next 6 months or so?
Anastasios Margaronis: It’s the same question that keeps coming up in every quarter during our conference call. We stay put to our hedging strategy. If you have a hedging strategy, you don’t amend it based on what you think is going to happen in the short-term. You don’t amend it, because if you start amending it, you don’t have a hedging strategy. So basically, we will continue with the same strategy having a vessel to fix every 15, 20 days. And by doing that, we are certain 100% that we will get the average of the market, which we are very happy with. So, we have a spot exposure by having a vessel to fix every 15 days, but we don’t have it for a big spot of our fleet at the particular period.
Randy Giveans: Okay. And then you are kind of looking at your fleet, you have 7 vessels older than 15 years of age. So, what is your fleet growth or renewal plans? And with that, do you expect your fleet to be larger or smaller, I guess than it currently is over the next year?
Anastasios Margaronis: We are one of the companies that we have explained clearly our strategy and that is that we don’t have to grow as regards the number of vessels that we have, when we are at the upper part of the cycle. We think we are very close of getting to that part of the cycle and therefore you should not be expecting Diana to grow as a company as regards the number of vessels, but – and you should be expecting Diana to getting to sell the older tonnage of that part of the cycle. As we have said in the past, every vessel that we buy is an option to be sold again in a good part of the cycle. And we were very, very fortunate that we didn’t have to sell any of our vessels at the lower part of the cycle.
Randy Giveans: Sure. Two quick modeling questions. So, obviously you talked about G&A exceeding $8 million highest ever, I know you said the increase was due to increased payroll costs, can you elaborate a little further on this and then what should the run-rate be for the rest of 2018?
Andreas Michalopoulos: I think this quarter has been a bit more beefed up indeed due to some regulations and holidays that happened, you need to pay an extra salary for the management company here that is I remind everybody that it’s fully incorporated into the public vehicle plus some other plans that selling. I think as a run-rate if you look at per day per vessel number, it is lower than last year. When you take the yearly figure per day per vessel, you will see that it’s lower than last year. So in absolute number, of course, since the vessels have increased overall by 5 vessels this year, it is a high number. But going forward, I think you should expect to have this run-rate that’s more evenly spread around the quarters I think. This time was a bit not very well set.
Randy Giveans: Got it. Okay. Last question, so 3Q ‘17 you had obviously no net cash kind of provided by investing activities, 4Q you had about 13 million now, I know you said that was partially the sale of the Melite and then was the insurance proceeds that’s basically the entire 13 million?
Andreas Michalopoulos: Yes, most of it. The sale of the Melite reinsurers, the amount was the gain on the contract termination for the quarter the amount was $10.979 million as you can see from the income statement. Now, you also had some, yes, it’s mainly the Melite.
Randy Giveans: Got it. Alright. I’ll turn it over. Thanks so much.
Andreas Michalopoulos: Welcome.
Operator: Our next question comes from the line of Fotis Giannakoulis from Morgan Stanley. Please proceed with your question.
Fotis Giannakoulis: Yes. Hi, gentlemen. Thank you.
Simeon Palios: Hi, Fotis.
Fotis Giannakoulis: I want to ask you what do you think that we are in the cycle right now and at what point will it make sense to either start selling your older vessels and renewing your fleet with younger tonnage and how do you plan to finance a renewal program like that?
Ioannis Zafirakis: Hi, Fotis, Ioannis again. For us to realize whether we are of this part of the cycle, the upper part of the cycle are not – but it’s not a thumb rule or – but being in the shipping industry for so many years, we think we have the experience to identify whether we have entered that area. And you will realize that we think that we have entered the area where the market is picking up and we are of the upper part of the cycle and when you see the company selling vessels, but renewing the fleet for us is not necessarily to happen by buying more and more new vessels. We pay more attention in the management of our capital structure rather than the number of vessels that we have in the water. To try and explain that further, you have heard us talking about that before, you should be expecting Diana to be in a position to pay very nice dividend at that time. And most probably, you will see us buying some more vessels after an offering, which is going to be accretive to the dividend on a per share basis, something that we have done in the past. This is how it’s going to happen, but it doesn’t mean that having 50 vessels today of an average age of 8, 8.5, we are going to end up at the upper part of the cycle having another 50 at an average age of 8. We may have 30 with an average age of 5.
Fotis Giannakoulis: Thank you again. That’s very helpful. Would it be…
Ioannis Zafirakis: And a much bigger balance sheet at that time and much better earnings per share at that time.
Fotis Giannakoulis: Without putting words on your mouth, would it be fair to say that at this point you would be favoring having a very strong balance sheet and utilizing your capacity to return dividends to shareholders rather than to expand your fleets?
Ioannis Zafirakis: Certainly, we have said that in the past that we are very fortunate to invest a lot of money at the lower part of the cycle. And we are waiting to get the results of that. And by that, I mean the market to move a little bit further up, where we will start rewarding our shareholders again. We are not interested in buying anything more today as we speak.
Fotis Giannakoulis: Thank you. Regarding the newbuilding prices and the newbuilding activity, it seems that versus the previous time that the market was at the current levels when we have the $19,000 or $20,000 1-year rates, newbuilding prices and vessel values overall are still at lower levels than 3 years ago. Where do you attribute then? Do you see the fact that the prices compare favorably compared to the previously cycle that this can trigger additional newbuilding orders and more order book going forward?
Ioannis Zafirakis: You know very well that except supply and demand factors, which you referred to, there is another very important factor, which is the sentiment. The reason why the prices have not moved up the way you described has to do with the sentiment and the perception of people that this option is not going to be sustainable. They have to be persuaded that this is sustainable for the asset values to move and we don’t say that is going to happen, but we certainly cannot say that this is not going to happen.
Anastasios Margaronis: Fotis, added to this is – I just want to add this point that we are in the situation where there isn’t great appetite for tanker ordering, nor for anymore containership ordering apart from the very large ships that have been ordered. So, there is also here the situation where yards are not in a position to demand for much higher prices for newbuildings, because of this lack of interest for newbuildings in other sectors. So that – but the main thing is sentiment, because if people are really bullish, they find the way to order ships and push prices up.
Fotis Giannakoulis: Thank you, Stasi. Would you mind sharing your view and your agreement or disagreement with this overall sentiment about the sustainability of the strength or the recovery of the drybulk markets?
Anastasios Margaronis: As I mentioned that towards the end of my little presentation, yes, we do share this sentiment for the short to medium term, but we admit as always that we cannot see much further than that for the simple reasons that we cannot see what will happen with supply and demand further than about 18 months from now, but we do see supply and demand in the foreseeable future, which is short to medium term, nothing further being favorable towards higher earnings, yes.
Simeon Palios: Fotis, we have to say once again that in our sector as forces usually work under the carpet and from the moment there is a very big and important issue in our industry. If the threat and the fear of people thinking that this is not going to be sustainable is stronger than the actual fact of demand and supply, then this is going to become sustainable. So, when we talk about the extra factor of sentiment, it is not a theoretical problem, it’s an actual problem that has a similar effect to supply and demand if the people believe that this is not sustainable, then the supply number goes down and this is why the market keeps going up. So, this is something that we should pay a lot of attention to and nobody is in a position to wait this force properly. If you are in a room of people with 100 people, 100 shipowners, well-known shipowners and you ask them do you think that the next chapter in the drybulk is going to be short-lived, all of them, 99% of them are going to tell you is going to be short-lived. And then you are going to ask them, why is it going to be short-lived and they are going to tell you before everyone is going to rational their vessels, but if 99% of the ship owners know that who is going to order and then the market keeps going up.
Fotis Giannakoulis: Thank you very much. Thank you, Stacy.
Simeon Palios: You’re welcome. Thanks Fotis.
Operator: Our next question comes from the line of Ben Nolan from Stifel. Please proceed with your question.
Ben Nolan: Yes. So I have a handful, but one relates to I guess you are chartering really not strategy, but just the shape of the market obviously you guys have always been doing time charters and as of late they have been 1 year to 1.5 years and it seems like that’s almost everything, this being done in the market is less than 1.5 years, I am curious in this as the market is evolving here are there longer time charter contracts then that developing that are actually it levels that makes sense so far as you guys are concerned?
Simeon Palios: Well, as we grow bigger in size in a number of ships and we want to have every month a vessel to reach that means that you have to spread the vessels, some of them longer than 2 years, as of while you will have 2 or 3 ships the same month. So we are spreading and we are hedging the chartering in that manner. But whatever we are saying, we said it back in March 2005, nothing has changed since then. And we keep on track. And we are very well on track today. We haven’t changed one single iota [ph] on what we said then. And we will keep on doing the same thing, because it works. And therefore gets that today we have completed the cycle on the ups, on the downs and the period of the time charter has been completed, so it works.
Ben Nolan: Right. And…
Anastasios Margaronis: Let me say something else as well this is what Chairman has said. We don’t have to take the position to say whether this rate is attractive or not. That’s the essence of our strategy. We take what the rate is and we don’t have to take the position that this is attractive to us, so let’s fix five of our vessels. We don’t do that, because attractive doesn’t mean anything. I have to remind you that $50,000 for a Cape in 2006 was a fantastic number a very, very attractive number. But comparing to $100,000 later on it was – $150,000, it was not attractive at all.
Ben Nolan: Right. I guess I am really asking a little bit more about the shape of the curve, are there discussions or is there even sort of the potential to do longer term time charters that generate rates that are above what you might be able to get on 1 year or 18 months contract?
Anastasios Margaronis: Yes. There maybe, but please don’t take it for granted that they know something that you and I and all said we do not know. It doesn’t mean anything if there is an interest of the charters for longer period. It doesn’t mean that they are afraid that their market is going to pick – keep going up and this is why they want to fix now. Remember, the charters they are also hedging their expenses and they are of course and they are playing with the paper market as well and they couldn’t care less what happens after that. From the movement they have confined paper to play together with the actual fixing of the vessel, it does matter for them.
Ben Nolan: Okay. Switching gears a little bit, could you maybe help maybe Andreas on what is the debt repayment profile or how much debt is coming due in over the next several years?
Andreas Michalopoulos: We have said in the past for 2019 is the loan amortization that comes apart from the BCI loan as we said before is up on the – but for us to pay our lenders in ‘19 it’s $55 million and in – which of course our loan amortization for this could be refinance do you understand that and in 2020 it’s another $60 million in loan amortizations.
Ben Nolan: Okay, perfect. And then lastly along those same lines looking at your balance sheet as well as the cash that you have available to you at the moment, is it possible to maybe quantify how much capacity you have to go out and acquire ships to the extent that, that’s something that you would do currently without any incremental?
Andreas Michalopoulos: As we said just now and this was what I told you was the loan maturing by the way in ‘19 and ‘20.
Ben Nolan: Right, right.
Andreas Michalopoulos: This profile is different, but you will see it in our 20-F very well depicted. Now, in terms of acquiring vessels, we are not in the phase of acquiring vessels. I think Ioannis Zafirakis was very clear about that. So, there is no – we don’t need our cash in order to acquire vessels at the moment to do that.
Ben Nolan: Okay, that’s fair enough. Alright, thanks guys.
Andreas Michalopoulos: You are welcome.
Operator: Our next question comes from the line of Jon Chappell from Evercore ISI. Please proceed with your question.
Jon Chappell: Thank you. Good afternoon. Just one left for me, we really don’t focus too much on impairments usually, because it’s non-cash and non-recurring, but this one kind of stands up for two reasons, one, the size is 40% of the book value as of the end of the third quarter and two, the timing, asset value is a bit improving from much of the last 18 months. So, why was it decided in this last quarter to take such a massive impairment? Was it something that the banks insisted on and why wasn’t that done kind of in the trough of the market in early ‘16?
Andreas Michalopoulos: That’s a very good point, Jonathan. No, neither the banks nor nobody was obliged and it wasn’t really a decision that was made from the management. This is basically based on our policy of taking as an assumption the 10-year average time charter rates and taking away the 2-year peaks. If you do that test of cash flows that is you get requirements to do every quarter and we have been doing that since the beginning of our listing. You see that those vessels and these are lot for us to those 20 vessels they hit the test of cash flows and needed to be impairment in this particular quarter. So you are right for us too, it was not really a surprise, because we were seeing it coming being inside the company, but the fact that they all hit together is a bit of a coincidence indeed. So in other words, it’s neither a will from any banks, I want to remind everybody that we are completely current on our covenants. We have not restructured and we have absolutely no issues with our lenders and never had and it’s just a matter of calculation and with assumptions that are standard in the industry.
Jon Chappell: So, was the 10-year average rate substantially lower in the fourth quarter maybe because we have anniversaried the last boom period, I am just – if you did the same thing in say March of ’16 [indiscernible]?
Andreas Michalopoulos: We as a company assess the policy and we had to take out the peak, which were the 3 years of the peak market in 2009 and ‘10.
Jon Chappell: Okay, thanks for the clarification, Andreas.
Andreas Michalopoulos: Very welcome.
Operator: [Operator Instructions] Our next question comes from the line of Gregory Lewis from Credit Suisse. Please proceed with your question.
Gregory Lewis: Yes, hey, thank you and good afternoon, everybody.
Andreas Michalopoulos: Hi, Greg.
Gregory Lewis: Apologize, I hopped on a little bit late, but just kind of had some questions, I mean…
Simeon Palios: [indiscernible]
Gregory Lewis: As I think about the impairment and sort of – as Jonathan alluded to the stabilization and asset prices. Should we be thinking about the Diana potentially looking to maybe sell some of these older assets over the next 1 to 2 years as the market stabilizes?
Simeon Palios: Yes. As we explain certainly, we said earlier that for us every vessel that we buy is an option to be sold in a good market again after we have utilized the vessel for as many years as possible. So we think that the timing now is going to be start, but within the next year or so, we will have the opportunity to sell some of our vessels.
Gregory Lewis: Okay. And then just as and so as the cycle improves and we move higher to the company, it sounds like the company is comfortable with a smaller footprint. So in other words, we don’t need to keep growing just so maybe we could shrink into a rising market and then reload it them. Okay, perfect guys.
Simeon Palios: Certainly, an improving balance sheet, we are in the business of shipping, but at the same time managing our capital structure.
Gregory Lewis: It sounds good to me. Thank you very much for the time guys.
Anastasios Margaronis: Thanks, Greg.
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session. I would now like to turn the call back over to management for closing remarks.
Simeon Palios: Thank you again for your interest in and support of Diana Shipping Inc. We look forward to speaking with you in the future. Thank you.
Operator: This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.